Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to Silver Wheaton's 2013 second quarter results conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. I would like to remind everyone that this conference call is being recorded on Thursday, August 15, at 11:00 AM Eastern Time. I will now turn the conference over to Mr. Patrick Drouin, Vice President of Investor Relations. Please go ahead sir.
Patrick Drouin: Thank you, Candice. Good morning, ladies and gentlemen, and thank you for participating in today's call. I am joined today by Randy Smallwood, Silver Wheaton's President and Chief Executive Officer and Gary Brown, Senior Vice President and Chief Financial Officer. I would like to bring to your attention that some of the commentary in today's call may contain forward-looking statements. There can be no assurances that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. Please refer to the section entitled description of the business risk factors in Silver Wheaton's Annual Information Form which is available on SEDAR and in Silver Wheaton's Form 40-F on file with the U.S. Securities and Exchange Commission. The Annual Information Form sets out the material risk factor that could cause actual results to differ including the absence of control of our mining operations from which Silver Wheaton purchases silver, risk related to such mining operations and the risk of a decline in silver prices. Lastly it should be noted that all figures referred to on today's call are in the U.S. dollars unless otherwise noted. Now I would like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Patrick, and good morning, ladies and gentlemen. Thank you for dialing into our second quarter 2013 conference call. Silver Wheaton's second quarter highlights include another solid quarter of gold and silver production, resulting in record production for both the second quarter and the first half of 2013. Given the strong performance of our mines, we remain well on track to achieving this year's forecast production of 33.5 million silver equivalent ounces. In particular, production from our recently acquired Sudbury and Salobo mines was stronger than expected in the second quarter and we anticipate continued growth in the second half of this year, especially as Salobo continues ramp up towards full production. Our amended dividend policy has again smoothed the volatility in our dividend payout resulting in a third quarterly 2013 dividend of $0.10 per share. Going back to our Q2 of 2013 mine performance, we are proud to announce that we have started 2013 with substantial year-over-year gains in silver equivalent production and sales. In the second quarter, production was 8.6 million silver equivalent ounces which is 28% higher than the second quarter of 2012. Silver equivalent sales was 4% higher than a year ago coming in at 7.2 million ounces of Silver equivalent production. While both production and sales were higher in the second quarter, the average realized silver equivalent price was 20% below the second quarter of 2012 resulting in lower revenue, earnings and cash flow. Our average price for silver sold in the second quarter of 2013 was $23.05 per ounce, well below the 2012 silver price average of $30.17 per ounce. Gary Brown, our Chief Financial Officer, will provide more detail on our financial results shortly. With respect to the dividend policy, earlier this year we amended our dividend policy in order to reduce the payout volatility, a result of rapid moves in the silver price and quarterly fluctuations in our produced, but not yet delivered ounces. Our amended policy provides investors with sustainable and now more stable dividends that are still directly tied to both our organic growth and commodity prices. As a result of the new policy, our third quarterly dividend of 2013 will be as mentioned, $0.10 per share, over 40% higher than what the dividend would have been as payable under the old dividend policy. With respect to our portfolio of mines, over the second quarter we saw a number of developments with some of our key assets. As most of you are aware, regulatory issues at Pascua-Lama have resulted in a forecasted delay in startup until the middle of 2016. We have been and continue to be in close communication with Barrick and remained very confident in their ability to bring this world-class mine on stream. That being said, we have structured our contract with Barrick so that we are well compensated for delays and start-up and we will continue to receive silver three of Barrick's other operating mines until the end of 2015. To reflect the delay at Pascua-Lama Silver Wheaton did recently revise its 2017 production forecast from 53 million down to 49 million silver equivalent ounces. We have also extended the minimum completion date by one year to the end of 2016 at Pascua-Lama, although we are confident that this low cost world-class gold and silver mine will be in production before that date. At Penasquito, we are very encouraged by Goldcorp's recent announcement regarding the identification of a new water well field within their currently permitted basin. This northern well field is expected to be ready in the second half of 2014, and is reported to have sufficient water to continue to plan ramp-up to full design capacity of a 130,000 tons per day. Our current five-year guidance is based on Goldcorp operating Penasquito at only 110,000 tons per day, and with monthly production numbers in June reaching higher than 120,000 tons per day, we believe Penasquito still has plenty of opportunity for continued improvement. At Sudbury, we saw excellent production results but sales are taking longer than expected to work through the whole material process. This is Silver Wheaton's first agreement with a partner that mines, smelts and refines its precious metals, and this whole process has resulted in an increase in our produced, but not yet sold quantity during the second quarter. It should be noted that this pipeline only has to fill up at the start of our contract and we are now seeing regular gold deliveries from Sudbury, moving these impressive production results into sales in the coming quarters. Finally, we have been very pleased by developments at Hudbay's Constancia project down in Peru. As announced in the second quarter financials, the development of this project is over 40% complete. Significant progress has been made at Constancia. The mine fleet has been secured and Hudbay has completed [detouring] of the principal foundations for the ball and SAG mills. In the second quarter, Hudbay reached $500 million in capital spending which triggered our second payment of $125 million. Constancia continues to advance and we look forward to a startup in late 2014. On the corporate development front, we remain very busy. The mining industry has a constant need for funding and Silver Wheaton remains uniquely positioned to capitalize on this need. Streaming has proven to be a very effective method of converting non-core assets into much needed capital for the mining industry. With our combination of existing cash, ongoing cash flows and credit available underneath our revolving facility, we are well positioned to fund all outstanding commitments and to pursue value-enhancing precious metal streams. However, we want to stress once again that given the recent volatility in commodities and financial markets, we will proceed at a very measured and tempered pace when it comes to new acquisitions. There is a new reality out there for precious metal prices and we will continue to only make accretive acquisitions in the context of the current market. We recognize the current volatility in commodities markets can prove frustrating as it relates to share price performance. While precious metal prices have retreated since the beginning of this year it is important to reemphasize one of the key strengths of Silver Wheaton's business model. That is, low predictable costs for both, silver and gold production. In the second quarter, our average cash cost for silver was $4.14 per ounce. And, for gold, it was $391 per ounce. These are easily amongst the lowest costs in the precious metal space, and even at current commodity prices, Silver Wheaton is still able to generate significant earnings and cash flows. It is also important to highlight the quality of these ounces. In 2013, over 85% of our production will come from mines that produce their principle products within the lowest respective quartile of these cost curves. These are mines that should be able to survive the lows of the commodity price cycle and continue to deliver silver and gold to us through all stages of that price cycle. In summary, Silver Wheaton continues to have one of the strongest organic production growth profiles in the precious metals industry, with over 65% growth anticipated in the next five years organically, within our current portfolio. While we are in an ideal market to add to our portfolio of high quality assets, we remain prudent and measured in our pursuit of additional accretive opportunities. Finally with this industry leading organic growth profile, a strong track record of accretive growth and more silver reserves than any other silver company in the world, we believe that we continue to offer the premier investment opportunity in the precious metal space. With that, I would like to turn the call over to Gary Brown our Senior Vice President and Chief Financial Officer to provide a bit more detail. Gary?
Gary Brown: Thank you, Randy and good morning ladies and gentlemen. Prior to reviewing Silver Wheaton's unaudited financial results for the three months ended June 30, 2013, I would like to remind everyone that all monetary figures discussed are denominated in U.S. dollars unless otherwise noted. The company's precious metal interests generated record attributable silver equivalent production of over 8.6 million ounces in the second quarter of 2013, 28% higher than production from the comparable period of the prior year due primarily to the production generated from the recently acquired 777, Sudbury and Salobo gold interests, with the contributions from these new sources of production being partially offset by lower production at Penasquito. Approximately 74% of this production related to silver, with the remainder relating to gold. Silver equivalent sales volumes amounted to 7.2 million ounces in Q2 2013 representing a 4% increase from Q2 2012 with such increase being attributable to gold deliveries relating to 777, Sudbury and Salobo with such being partially offset by decreased silver deliveries from the Yauliyacu and Penasquito. Payable silver equivalent ounces produced, but not yet delivered by our partners, amounted to five million ounces as of June 30, 2013, an increase of about one million ounces over the quarter, with the most significant increases being attributable to Penasquito, Sudbury and Salobo. Revenue for the second quarter of 2013 amounted to $167 million representing a 17% decrease from the comparable period of the prior year with the average realized silver equivalent selling price decreasing by 21% to $23.05. Earnings from operations for the second quarter of 2013 amounted to $91 million, representing a 40% decrease relative to the second quarter of 2012 with operating margins decreasing by 21% to 55% in the second quarter of 2013 due to a combination of lower commodity prices and higher cash cost and depletion rates associated with the recently acquired gold interests. Cash based G&A expenses were $6.5 million in the second quarter of 2013 representing an increase of $800,000 from Q2 2012 with the increase being primarily attributable to higher personnel costs with the number of full time employees increasing by 22% with 28 employees at June 30, 2013. Interest costs for the second quarter for the 2013 amounted to $7.2 million resulting in an effective interest rate on outstanding debt of 2.6%. $4.7 million of interest incurred was capitalized to Pascua-Lama and Constancia Mineral interests, resulting in an interest expense reflected on the income statement of $2.5 million. Of the $7.2 million in total interest costs incurred, $2.3 million was attributable to the amortization of our upfront cost and one-time fees. The interest rate on outstanding debt ignoring these non-recurring costs was 1.8%. Other expenses amounted to $6.9 million for the second quarter of 2013, which reflected the expensing of the remaining $4.5 million of deferred upfront cost associated with the bridge facility which was refinanced during the quarter. Net earnings amounted to $71 million in the second quarter of 2013 compared to $141 million in the comparable period of the prior year with basic earnings per share decreasing by 50% to $0.20 per share from $0.40 per share with the decrease being primarily attributable to the decrease in commodity prices. Operating cash flow for the second quarter of 2013 amounted to $125 million or $0.35 per share compared to $173 million or $0.49 per share in the second quarter of the prior year. Based on the company's modified dividend policy, whereby the next dividend is based on 20% of the average operating cash flow generated for the prior three quarters, the company's board has declared a dividend of $0.10 a share payable to shareholders of record on August 30, 2013. For clarity, based on the modified policy, the next dividend to be declared will be based on 20% of the average operating cash flow generated for Q4 2012 and Q1, Q2 and Q3 of 2013 with future dividends being based on a rolling average of the prior four quarters' operating cash flow. Again, the intention of the modified dividend policy is to mitigate some of the volatility in the amount of the quarterly dividend. During second quarter of 2013, the value of the company's long-term investment portfolio of shares and other publicly listed mining and mineral exploration companies decreased by $45 million, which has been reflected in the statement of other comprehensive income. The operational highlights for the second quarter of 2013 included the following, San Dimas produced 1.2 million ounces of sliver attributable to Silver Wheaton during the second quarter of 2013, including 375,000 ounces received from Goldcorp. Although this production level was consistent with the second quarter of 2012, it represented a decrease of 583,000 ounces from the prior quarter, attributable to Primero having achieved the annual 3.5 million ounce threshold above which they are entitled to retain 50% of silver production. Primero will continue to be entitled to retain 50% of the production until August 6, 2013, which represents the end of the annual threshold period. Yauliyacu produced 668,000 ounces of Silver during the second quarter of 2013, representing a 10% increase from the comparable quarter of the prior year. Silver sales relating to Yauliyacu amounted to 559,000 ounces in Q2 of 2013 compared to silver sales of 1.2 million ounces in Q2 2012, with prior year sales volumes reflecting the sale of over 600,000 ounces of silver relating to concentrate which have been produced at Yauliyacu in the prior periods. As of June 30, 2013 there was approximately 1.1 million ounces of payable silver contained in concentrate that has been produced but not shipped relative to Yauliyacu. Penasquito generated attributable silver production of 1.4 million ounces during the second quarter of 2013, representing a 21% decrease from the comparable quarter of the prior year, with such decrease being attributable primarily to the scheduled mining of lower grade material. Silver sales of second quarter of 2013 relative to Penasquito amounted to 1.1 million ounces, compared to 1.8 million ounces in the comparable period of the prior year with the payable silver ounces produced but not yet delivered to Silver Wheaton increasing by over 200,000 ounces during the most recently completed quarter to just over 1 million ounces. Although production at Penasquito continues to be affected by water shortages, processed plant throughput increased to 105,500 tons per day in Q2 2013, with the month of June averaging nearly 121,000 tons per day due to the greater than expected water availability. Goldcorp recently announced that a new water source referred to as the Northern Well Field has been identified within Penasquito's current permitted Cedros basin that is expected to provide the flexibility to resume ramp up to the design throughput of 130,000 tons per day. This new water source is expected to be available in the second half of 2014. The 777 mine generated attributable silver equivalent production of 1.2 million ounces during the second quarter of 2013, comprised of 17,000 ounces of gold and 156,000 ounces of silver consistent with prior quarter. However due to a reduction in precious metal produced, but not delivered to Silver Wheaton during the quarter, silver equivalent sales relating to 777 amount to over 1.6 million ounces. The recently acquired Sudbury gold interest produced over 8,000 ounces attributable gold during the second quarter of 2013, consistent with prior quarter with related sales volumes of just over 4,000 ounces of gold, with payable gold produced but not yet delivered to Silver Wheaton amounted to approximately 12,000 ounces or 700,000 silver equivalent ounces as at June 30, 2013. The recently acquired Salobo gold interest produced over 6,000 ounces of gold during Q2 2013, an increase of 36% from the prior quarter, due to a combination of higher throughput and recoveries, with such being attributable to the continued successful ramping up of milling operations. However, gold sales relating to Salobo amounted to just under 3,000 ounces with payable gold produced, but not yet delivered to Silver Wheaton, increasing to approximately 7,000 ounces or 400,000 silver equivalent ounces as at June 30, 2013. The company's net debt position increased by approximately $94 million in the second quarter of 2013 to $1.1 billion with $125 million of operating cash flow being offset by the $125 million payment to Hudbay relative to Constancia silver interest and $92 million of dividend payments being made during the quarter. During the second quarter of 2013, the company entered into a $1 billion non-revolving loan for a three-year term with the syndicated banks. The proceeds received under this facility were used to repay the remaining balance outstanding under the bridge facility with the remainder being used to repay debt outstanding under the $1 billion, five-year revolving facility with the bridge facility being terminated following such repayment. As at June 30, 2013 the company had $36 million of cash and cash equivalents on hand and $1.145 billion of debt outstanding, with $1 billion of debt relating to the non-revolving term loan and $145 million relating to the revolving credit facility. The company's strong future cash flows combined with the $855 million of available credit capacity under the revolving facility positions the company well, satisfies its funding commitments, sustain its dividend policy, while at the same time providing flexibility to consummate additional accretive precious metal purchase agreements. Lastly, there has been no substantial change in the status of the audit of the company's taxation years 2005 to 2010 by the CRA. With that, that concludes the financial summary and I would turn the call back over to Randy.
Randy Smallwood: Thank you, Gary. Candice, we would like to open up the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. (Operator Instructions) Thank you. Your first question comes from Cosmos Chiu with CIBC. Your line is now open.
Cosmos Chiu - CIBC: Just got a few questions here, maybe first off, I noticed that Q1 production was restated a little bit. I guess, in Q1 it was 8 million ounces and in yesterday's press release it became 8.3 ounces. Is that just a function of the underlying assumptions for gold and silver and the gold-silver ratio?
Randy Smallwood: No. Cosmos, sometimes when we release our results, we don't have all the production, final production data from our partners and so we make the best estimates we can based upon on the information that we have and we will go back and adjust those numbers to reflect the actual production once all of our partners have released. So, you will see from quarter-to-quarter and we state that in the MD&A to the financials that those types of adjustments will commonly be made.
Cosmos Chiu - CIBC: Okay. At least it's a good adjustment it went up, so it's a good thing. Randy, you talked about the new Vale streams and how shipment is going to catch up to production, but could you give us maybe a little bit more color in terms of how shipments, what percentage of production could translate into sales in Q3? I assume it's going to be higher than Q2, but I am just wondering what kind of levels?
Randy Smallwood: Yes. Cosmos, what's happened especially with Sudbury, where a lot of our gold comes from the nickel concentrate which runs through their nickel smelter. This is the first agreement that we have got with a company that actually goes from mine to smelter to refinery. Of course we get sales when Vale sells the gold. So it takes a lot longer than our normal concentrate process. So we are now receiving regular goal deliveries from Sudbury. So Q3, we have filled that pipeline and hopefully now we should get pretty consistent deliveries. Now, there is different recoveries and payable amounts depending on nickel and copper concentrates. That's going to change overtime, but we are now to the point where that pipeline in Q3, we shouldn't see much of an impact in terms of that. We think we have filled up our pipeline now.
Operator: Your next question comes from Chris Lichtenheldt with Dundee Capital Markets. Your line is now open.
Chris Lichtenheldt - Dundee Capital Markets.: Just a follow-up quickly on your comment about filling the pipeline. Does that mean now we should probably expect this five million ounce level of produced but not sold probably to be steady around that number now?
Randy Smallwood: Yes, its going to stay. What we always see is, in the fourth quarter, companies tend to squeeze their, that pipeline and try and to squeeze production out. Then traditionally in the first and second quarter, the pipeline expands back out again and gets to a normal working level. But what happens in fourth quarter is, everyone is trying to maximize year-end results. So I would say that it wouldn't surprise me to see it in this range. There is going to be some fluctuations back and forth. We did miss some shipments on Penasquito and that is on pretty normal schedule. So we may make up some of that but I wouldn't predict a significant drop in Q3, but I would say that there's a good chance it will drop in Q4.
Chris Lichtenheldt - Dundee Capital Markets.: Okay, that's helpful, thanks. You commented about the deal opportunities and the market there being a lot of opportunities potentially. Has silver price volatility quieted to the point where yourselves and counterparties are more willing to potentially look at things or is it too early still or is that even effect to the volatility?
Randy Smallwood: Nobody likes making decisions in a volatile time just because the potential of someone looking off-base shortly afterwards. So what we always want to see is some stability, and it helps in the decision-making process in terms of, from the perspective of both the buyer and the seller. So there is no doubt that stabilizing a bit or even showing some strength like we have seen over the last week or so helps. The biggest hurdle right now is that, for the spot prices they dropped to such a lower amount that if you looked at the general sentiment for long-term pricing in silver, it's well above the spot price. That was one of the biggest hurdles that we were facing on the corporate development side is that the long-term expectations are still pretty bullish for the price of silver and the price of gold relative to where the spot price was. We just have to be tempered in terms of how much risk each side is willing to take there.
Chris Lichtenheldt - Dundee Capital Markets.: Okay, that's great, and then lastly just a housekeeping question. When do you expect the final payment for Hudbay? When are you modeling that?
Randy Smallwood: In discussions with them, it may happen as early as the end of this year, end of 2013. Likely, I would say, definitely by the end of the first quarter of 2014, in that range.
Operator: (Operator Instructions). Your next question comes from John Tumazos with John Tumazos Very Independent Research. Your line is now open.
John Tumazos - John Tumazos Very Independent Research: Could you describe the maturity schedule for the $1.14 billion in borrowings and how you will allocate the 80% of cash flow that's other than dividends in terms of making property payments as companies get their permits and qualify, paying down the debt and other purposes?
Gary Brown: Yes, John, it's Gary here. So we have got two facilities in place right now. One is a three year non-revolving term loan where the majority of the debt relates to and that's a three year facility that will mature in Q2 of 2016, bullet maturity. There is no amortization structure underlying that and the other facility is a five-year revolving credit facility and there is $145 million drawn under that. That would mature in Q1 of 2018, again, bullet maturity there. Another point to note is that we do have the ability to extend the non-revolving term loan by a year, once-a-year and that requires the unanimous consent of the lenders, so hopefully that addresses your first question. With respect to the allocation of the 80% of cash flow that's retained, we will make those decisions in light of the opportunities we have in front of us but, we are very comfortable with the level of debt that we are currently carrying and have no worries about being able to service that. We are very focused, John, on maintaining a very clean balance sheet and so that's something that has always been a real strong driver within this company.
John Tumazos - John Tumazos Very Independent Research: If all of your operators got all of their permits and fulfilled other requirements tomorrow, how much is the future payments that would come due?
Randy Smallwood: Sure. There is the Rosemont project with Augusta Resources down in Arizona, which is a $230 million payment. Those are scheduled payments as construction would commence, so there would not be money owing immediately. It would only happen once the project started coming on stream. There is a $125 million. That is still owing to Hudbay as they get to $1 billion in expenditures on Constancia. As I mentioned earlier, that is expected probably maybe as early as at the end of this year, but likely the first quarter of next year. Then if Navidad, the Pan-American silver average sites to move forward with Navidad down in Argentina, I think we have a $32.4 million payment there. So all totaled well within the capacity of our current revolver even if it all came up tomorrow. But, as I said, this is all scheduled out over the next couple of years. Of course, Navidad Pan-American has put that one in mutual for now, so easily manageable within our current cash flows and within our current capacity of the revolver.
John Tumazos - John Tumazos Very Independent Research: Thank you.
Randy Smallwood: Great. Candice, we would like to one more poll for questions please?
Operator: (Operator Instructions) Your next question comes from Dan Rollins with RBC Capital Markets. Your line is now open.
Dan Rollins - RBC Capital Market: Gary, I just have a very quick house cleaning question. What should we be assuming for G&A, excluding stock based comp on a go forward basis quarterly?
Gary Brown: Yes. We are still maintaining previous guidance, Dan, and that should be somewhere in the $32 million to $36 million range.
Dan Rollins - RBC Capital Market: Okay. Perfect. Then just sort of one follow-up. Is there a standby fee on the current $1 billion revolver?
Gary Brown: Yes. There is and it vary by leverage ratio that we have got. I don't have at my fingertips what that is, but it's somewhere.
Dan Rollins - RBC Capital Market: It's pretty low like a quarter-point or maybe?
Gary Brown: Yes. It's around there.
Gary Brown: Thank you, everyone, and thanks operator. With that, call this conference call to a close and we will talk to you again soon. Thank you.
Operator: That concludes the conference call for today. Thank you for your participation. Please disconnect your lines at this time.